Operator: Good day, everyone, and welcome to Charles River Associates First Quarter 2020 Conference Call. Today's call is being recorded. Today's release and prepared remarks from CRA's Chief Financial Officer are posted on the Investor Relations section of CRA's website at crai.com. With us today are CRA's President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. At this time, I'd like to turn the call over to Mr. Holmes for opening remarks. Please go ahead, sir.
Chad Holmes: Thank you, Rob, and good morning to everyone joining on the line. I hope everyone is doing well, staying safe and healthy during these unusual times. Paul and I are joined today by Dan Mahoney, CRA's recently appointed chief financial officer. We are pleased to have Dan onboard and would like to take this opportunity to offer a brief introduction. Dan joined us last month from BrightSphere Investment Group, where he was SVP and Head of Finance. We welcome Dan to our call this morning and look forward to his participation in the quarters ahead. I would like to remind everyone that the statements made during this conference call, including statements concerning the future business, operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms, are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain. And actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the extent and duration of the impact of the COVID-19 pandemic on our financial condition and results of operations. Additional information regarding these factors is included in today's release and in CRA's periodic reports, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant-currency basis on this call. Everyone is encouraged to refer to today's release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant-currency basis. Before I turn the call over to Paul, I would like to mention that we are conducting today's earnings call remotely, and our speakers are all joining from different locations. While we hope the call is executed seamlessly, we ask everyone for their patience should we run into any technical difficulties or challenges in connectivity. We thank you in advance for your understanding. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Chad, and good morning, everyone. Thank you for joining us today. CRA's financial results for our first quarter of 2020 demonstrate the continued strength of our portfolio. With that said, our world has changed dramatically over the past two months. I want to take this opportunity to address how this new environment has affected CRA. Our first priority is the health and well-being of our people and providing them with the foundation of stability and safety during this unprecedented time. Beginning on March 16, we asked our colleagues to work from home wherever possible. Within a matter of days, 100% of our colleagues were working from home with access to networks and infrastructure that possess the same power, capacity and security as they had available at their desk within our offices. We have continued to provide effective services to our clients and comply with stay-at-home orders and other local mandates that require movement restrictions and social distancing. Thank you to CRA's corporate resources for a job exceptionally well done. We are committed to supporting the needs of our personal and professional communities. As we help our clients address critical business challenges, I'm grateful to all of my colleagues for their hard work throughout these difficult times. We had a great company prior to the work-from-home order, and we have a great company today. The people that drove our performance in the first quarter are the same people who will drive the business forward in the future. Returning to the first quarter, we reported the highest quarterly revenue in the company's history and year-over-year headcount growth of 16.3% across our practices and geographies. Our Q1 performance was driven by more than 35% year-over-year growth in new project originations. These new projects contributed to the strong Q1 results and also provide us with a solid foundation for the months ahead. From the beginning of March through last Friday, a period that has been impacted by the COVID-19 pandemic, new project originations have slowed but are still up 4% relative to the same period of 2019. This data only provides us with a snapshot of activity over the preceding eight weeks, which may or may not be indicative of our future performance. Another metric we are monitoring as we assess the impact of COVID-19 on our business is weekly labor billings. This productivity metric represents the dollar value of time incurred by our consultants on client projects. To move from labor billings to net revenue, a number of adjustments are made to account for items such as reimbursable expenses, nonemployee consultant billings, fixed price projects and write-offs. In the first quarter of 2020, labor billings were up 12% year over year relative to the first quarter of 2019. For the month of March through last Friday, weekly labor billings are up 8% relative to the same period of 2019. Again, this represents only eight weeks of data, so it's not an assurance of our growth going forward. The trend in new project originations and weekly labor billings seem to have been negatively impacted by the decline in M&A activity and delays in the U.S. court system. Global merger and acquisition activity fell sharply in the first quarter of 2020, both in terms of the number of deals and reported transaction value. In the litigation market, during March 2020 and the first two weeks of April, case filings were not significantly impacted year over year. This suggests that litigants were moving forward with planned litigation. However, case activity is down. For example, court judgments in March of 2020 were down more than 40% relative to 2019. This suggests that while litigants are moving forward with filings, courtrooms have been impacted in their ability to handle normal litigation loads. Shifting gears, I would like to spend a few minutes on two of CRA's larger practices that performed well during the first quarter and continue to see strong demand for their services. First, I want to highlight our Forensic Services practice. Despite the ongoing health crisis, this practice has not missed a beat. They continue to help companies on matters involving forensic accounting, anti-money laundering, cyber security, e-discovery and information security. Drawn upon our forensic accounting capabilities, the practice's recent engagements include an investigation into allegations of embezzlement of $100 million by a former chief financial officer and an investigation into a $245 million alleged securities fraud scheme. Leveraging our money laundering capabilities, the practice is performing an independent review of the AML compliance program at a nationwide retailer that serves as an agent for a money services business. Drawing upon our cyber incident response and e-discovery competencies, the practice continues to investigate numerous business email compromises, fraud by corporate executives and ransomware events affecting client operations in multiple countries. In the area of information security, the practice is serving as an independent monitor for a multibillion-dollar nonprofit health system which has suffered a series of data breaches and then entered into a corrective action plan with the U.S. Department of Health and Human Services. The practice was also recently honored in the National Law Journal's Best of 2020 for being one of the top three forensic accounting providers in the country and by Global Investigation Review as one of the top 10 forensic practices for handling sophisticated cross-border, government-driven and internal investigations. Congratulations to our forensic practice. Life Sciences is the second practice I would like to highlight today. It also performed well during the first quarter and continues to see strong demand for its services across a range of strategy, analytics and litigation assignments. During the first quarter, strategy work in the practice was led by a global product development and a launch project in oncology and diabetes. Analytics work was led by a large client project regarding the development and use of a data warehouse to integrate patient-payer-physician data. This information, coupled with advanced analytics and user-friendly data visualization, is an integral part of the process to drive the client to a more patient-centric approach. Litigation work was led by projects involving opioids, intellectual property and an assessment of commercially reasonable efforts associated with the development of an oncology product. As our first quarter results demonstrate, our portfolio of services is highly valued by our clients. On a constant-currency basis, we grew revenue by 19.5% to $126.5 million and achieved non-GAAP EBITDA margin of 10.3%. Although we are pleased with our performance in the first quarter, as I stated previously, we saw our rate of growth in both new project originations and labor billings slow over the past eight weeks. Given the challenges and uncertainties that accompany the COVID-19 pandemic, at this time, CRA cannot forecast with reasonable accuracy the full duration, magnitude and pace of the economic impact on our business and across our end markets. Thus, we are withdrawing our previously issued guidance for fiscal 2020. We remain confident that the same factors that have driven our success in recent years will continue to drive our performance in the months and years ahead. And now I'll turn the call over to Chad for a few additional comments. Chad?
Chad Holmes: Thanks, Paul. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the first quarter of fiscal 2020. In terms of headcount, we ended the quarter with 799 consulting staff, which consisted of 135 officers, 442 other senior staff and 222 junior staff. This is a net increase of 16.3% year over year, compared with the 687 total headcount reported at the end of the first quarter of fiscal 2019. Non-GAAP selling, general and administrative expenses as a percentage of revenue, excluding the 2.2% attributable to commissions to nonemployee experts, was 16.9% for the first quarter of fiscal 2020, compared with 18.3% a year ago. Given the ongoing health crisis, we are scrutinizing all discretionary expenditures to manage risk and proactively mitigate the financial impacts from COVID-19. As referenced in our earnings release this morning, profits were positively impacted by approximately $1.4 million of foreign currency gains in the first quarter, which resulted from net gains on foreign-denominated transactions and the revaluation of working capital balances. These gains arose mainly from fluctuations in euro and pound exchange rates, which saw increased volatility during the quarter. The effective tax rate for the first quarter on a non-GAAP basis was 29.3%, compared with 23.4% on a non-GAAP basis for the first quarter of 2019. The higher rate in the first quarter of 2020 was primarily attributable to a smaller benefit arising from the accounting for stock-based compensation in the current quarter relative to last year. For the trailing 12 months ending Q1 2020, CRA's adjusted net cash provided by operating activities was $64.9 million or 32% higher than a year ago. As a reminder, this metric begins with net cash provided by operating activities from our statement of cash flows and adds back net forgivable loan issuances, which are predominantly used for talent acquisition and talent maintenance. Adjusted net cash provided by operating activities represents a discretionary pool of capital used to fund items such as talent acquisitions, office expansions, debt repayment and redistributions to shareholders. Turning to the balance sheet; DSO at the end of the first quarter was 103 days, compared with 105 days at the end of the fourth quarter of fiscal 2019. DSO in the first quarter consisted of 71 days of billed and 32 days of unbilled. In the first quarter, we borrowed $70 million on our revolving line of credit to fund bonus payments, recent talent investments and office build-outs. Accessing our line of credit to fund bonus payments follows a familiar pattern that we have observed in prior years. As discussed in previous earnings calls, CRA's first quarter is typically a period of lower cash levels as it coincides with the timing of a significant portion of our annual bonus payments. Once bonuses are fully paid in Q2, we typically spend the remainder of the year repaying our borrowings and replenishing our cash balance. In addition to the normal bonus cycle, the first quarter of 2020 also saw outlays associated with previously announced talent acquisitions and office build-outs. Specifically, we issued $33.4 million of forgivable loans and spent $7.9 million on capital expenditures. We concluded the first quarter of fiscal 2020 with $15.8 million in cash and cash equivalents, with the majority residing internationally. During the first quarter of fiscal 2020, we returned $5.6 million of capital to our shareholders consisting of $1.8 million of dividend payments and $3.8 million for share repurchases of approximately 83,000 shares. Finally, we announced earlier today that our board of directors declared a quarterly cash dividend of $0.23 per common share payable on June 12, 2020 to shareholders of record as of May 26, 2020. That concludes my prepared remarks. Rob, we would now like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Andrew Nicholas with William Blair. Please proceed with your question.
Trevor Romeo: Hi, good morning. You've actually got Trevor Romeo from William Blair in for Andrew. Thank you for taking my questions. Thanks for providing some of the detail on kind of your early read on March and April trends, and I also wanted to give a welcome to Dan. I have a few questions. Maybe first, can you just give us a sense maybe of which practices in the firm you would view as most resistant to cyclical pressures or least impacted in your view, and maybe the rough size or magnitude of those practices particularly compared with past downturns?
Paul Maleh: Sure. Good morning, Trevor. This is Paul Maleh. Let me try to start breaking down that question. And if I get lost in between, please interrupt and remind me again of the information that you're after. First, the two practices that we highlighted are the two practices that we saw least affected by the COVID-19 impact over the last eight weeks, and that being our Forensic Services practice and our Life Sciences practice. Overall, I think the aggregate portfolio performed well, but those two are sort of, like I mentioned in my remarks, haven't missed a beat. Whether they will be resistant going forward, we have confidence that they will be, but it all really depends what path this economic recovery or continued slide will take. With respect to which practices have been the most impacted, I also tried to highlight that we are seeing a significant drop in M&A activity. A large portion of litigation-related work and also our merger work that is conducted in our Antitrust & Competition Economics practice is clearly impacted by the dramatic drop-off in that M&A activity. So our competition practice, I would say, was probably one of the more severely impacted groups over the last eight weeks of time. With respect to the comparison of this recession to the last recession, it's hard to compare because the origin of both of the economic volatility back in 2008 forward and now have very different origins and thus, I think, are going to have very different impact on our economy and thus different impact on the practices. Lastly, the portfolio we have today is very different than the portfolio we have had more than a decade ago. It is much stronger today, it is much deeper. And I think the continued excellence that this portfolio has delivered in the past several years addresses that or speaks to that. So I'm not sure if I got all your questions in there, Trevor, but I'm happy to try again.
Trevor Romeo: All right. That was very helpful. Thank you. And then thanks for also providing some of the detail on the court judgment statistics. To the extent that courtrooms are -- or remain, I guess, physically closed, I'd imagine many of those cases would just be kind of pushed out or delayed into the future. But is there any risk of actual loss revenue from those types of issues that wouldn't come back?
Paul Maleh: Yes. I mean, I'm seeing a lot of courts and litigations finding alternative means of proceeding with virtual depositions, virtual pleadings happening. The pace by which that happens is, I guess, a wait-and-see on that. What I was encouraged with, with the statistics I gave you is that the number of cases continues to grow. What we don't know about is the timing of those matters. For us to really experience a decline in revenue, I would have to see those cases being withdrawn or CRA losing market share, which, quite frankly, I see both of those things is unlikely.
Trevor Romeo: Okay, thank you. And then maybe just one more, if I could. I guess I realize this is probably going to be a tough question. But it's encouraging to see that new project originations are still growing in recent weeks. Based on what you're seeing right now kind of the client conversations you're having in the pipeline you observe at the moment, would you expect that to slow further in the near-term?
Paul Maleh: What I tried to do during my remarks is really share with you the exact same data that I'm looking at on a day-to-day and week-by-week basis. Visibility is nonexistent right now, and that's what we're trying to manage, too. I think my colleagues have done an exceptional job finding ways to still provide high-quality services to their clients, and thus, we're seeing a nice, healthy inflow of new projects. A lot of those projects right now are starting on a timely basis so we also necessarily haven't seen large delays between retention and the beginning of that work. But we are trying to keep abreast of the trends. But to date, I can't really give you much more insight into that, Trevor.
Trevor Romeo: Okay, no worries. That was all very helpful. Thank you.
Paul Maleh: Thank you, Trevor.
Operator: Our next question comes from Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke: Good morning. Yes, thanks again for the metrics you gave us on project originations and labor billings as you move through March and April. I was just wondering if you saw a deterioration as you moved through March and April in those metrics or if they stabilized as you moved along or potentially even improved as you progress through those eight weeks.
Paul Maleh: Sure. Let me try that. First, let me say, hi, Kevin. I hope you and your family are doing well through all this craziness that we're surrounded by. With respect to trends, one of the things and the reason we tried to use the eight-week period of time is, one, try to increase the number of observations. And the other trick to doing small sample comparisons with respect to lead flow or labor billings is that the holidays across those two years don't line up perfectly. So for example, if I'm looking at April, the holidays, whether it's Easter, Good Friday or Easter Monday in Europe, do not necessarily line up with those holidays that were experienced in March. So it starts getting that you have to make a lot of manual adjustments to try to line up that comparability. But we're staying busy, we're staying active. And I think the figures I gave you are representative of the aggregate performance.
Kevin Steinke: Okay, got it. Fair enough. So obviously, hiring was very strong in the first quarter. Given the strong demand trends that you were seeing, how do you think about consultant hiring plans going forward in this environment? Or have you contemplated any adjustments or reductions to consultant headcount at this point?
Paul Maleh: Yes. Those are all good questions, so let me try to see if I could knock off a few of those points. Let me begin by saying we have not instituted a hiring freeze at CRA. We're still looking to add high-quality individuals to the CRA team. We're doing our best job we can to try to match the supply with the demand for our services, and that will continue, quite frankly, forevermore. We have a class of new hires that will be joining us over the next six months. With that, we are honoring all hiring commitments for candidates joining us from universities, both on the undergraduate and the graduate level. And right now we are looking forward and planning on welcoming these new colleagues in Q3 and Q4 on that. So with that, the growth that we ended up enjoying in Q1, I would say, a good assumption, Kevin, is I would expect that year-over-year growth to be maintained as we move throughout the year. We have worked way too hard to accumulate the quality of resources we have at CRA. And I think right now, the best way to maintain value for our clients, for our shareholders, is to maintain that asset base going forward.
Kevin Steinke: Okay, makes sense. What is the hiring pipeline typically doing in an environment like this? Do you see more inbounds? Does it slow down? Just kind of any sense of what you're seeing or what you've seen in the past in terms of your ability to hire consultants in this environment or the availability of consultants.
Paul Maleh: Yes. What I can say is our practice leaders and Chad Holmes have been really busy. The pipeline is, I guess, is rich. We're still getting inbounds on it, and we're always going to look for those opportunities to make our portfolio even stronger with it. So, we're really pleased with the candidates we're talking to. And as soon as any of the actions are consummated, you guys will be some of the first to know.
Kevin Steinke: Okay, great. So are you contemplating any cost actions? Or have you taken any cost actions kind of on the G&A side of things as the last couple of months have progressed here?
Paul Maleh: As Chad referenced, I think we -- immediately, when we saw the environment shift toward the beginning of March, we took actions to try to reduce discretionary spend, to try to control SG&A costs as effectively as we can. You started seeing some of those initial benefits. If you look at SG&A, excluding perps in Q1, I don't think we've been south of 17% of revenue for quite some time. So we're seeing some of the benefit of those actions. We will continue to be diligent going forward. But as of right now, I do not have any planned changes directly impacting my staff, my colleagues, whether through furloughs or salary cuts on it. I'm really quite proud of how my colleagues are responding in this environment.
Kevin Steinke: Okay, great. Thank you. And I hope all of you and all your families are doing well as well. Thanks.
Paul Maleh: Thank you, Kevin. Stay safe.
Operator: Our next question comes from Marc Riddick with Sidoti & Company. Please proceed with your question.
Marc Riddick: Hi. Good morning, everyone.
Paul Maleh: Good morning, Marc.
Marc Riddick: Dan, welcome, and I look forward to working with you going forward. I did want to sort of touch on -- I think there was a mention made around some of the CapEx that you've got going on this year, and I know there were some office expenses. So I wonder if you could touch on that, sort of how that's going and whether or not you're seeing any delays there, whether, I don't know, there would be some construction delays or the timing of what you're looking at. So I was wondering if you could give a brief update on those efforts.
Chad Holmes: Sure, Marc. This is Chad. You're right. Consistent with our prior quarters, our CapEx outlays have been directed primarily toward office build-outs and expansions to support the growth in our consulting headcount. During the first quarter here in 2020, we spent about $8 million on such activities, and that was focused on our build-outs in Oakland, Boston and New York. We haven't seen delays to date on those projects, and they are close to wrapping up. We were able to finalize the Oakland project just before the shelter-in-place order came down in the Bay Area, and work continues in New York. For the remainder of 2020, we expect to spend about $10 million in addition on CapEx as we wrap up our construction payments for that Oakland project and complete the build-outs in New York and Toronto. We expect the time lines to stick, which would have us wrapping up those projects in Qs two and three.
Marc Riddick: Okay, great. Thanks for that. And then I was wondering if you could touch a little bit on -- with the headcount additions. I was wondering if you could touch on -- are there any particular concentrated practice areas or areas that were invested in? Because it seems as though it was mostly senior hires, at least, sequentially. So I was wondering if you could touch a little bit on -- was that a longer-term opportunistic-type hires? Or is that something a little more specific? Thanks.
Paul Maleh: Well, one of the large additions to the headcount, Marc, came when we had our new colleagues join on the West Coast, joined the competition practice. It was a group of 25 or so people. So we're clearly seeing the year-over-year benefit in Q1 of those additions. Anytime I can invest in our Antitrust & Competition Economics practice, I will do that in a heartbeat, irrespective of what we're observing in the M&A marketplace. So, we're really happy with our new colleagues at West. The other additions has really been a nice battering across our service portfolio. And that is I think consistent with what our overall strategy has been, and it's also consistent with the question with respect to pipeline. I'm seeing opportunities that exist across our service portfolio. And if you're part of the CRA service portfolio, that means we are willing and eager to try to invest behind you.
Marc Riddick: Okay, great. And then, I do appreciate -- thanks for giving the color around the increase in legal activity and the like. I was wondering, are there any places where you're seeing a, it's hard to say, a benefit given what's going on with the pandemic? But I was wondering if there are areas that are maybe a little bit more active and leading -- you're seeing accelerated activity that's directly caused by what's taking place with the pandemic. Thank you.
Paul Maleh: Yes. So the two practices I highlighted, being the Forensic Services practice and the Life Sciences practice, I would like to say that they are enjoying what I would call abnormal growth. But really, quite frankly, what they experienced in Q1 and what they've experienced over the eight-week period that I referenced from March to April is a continuation of what we've been seeing for the last several years. These practices have been excelling. They are continuing to add -- take market share out there. Whether incidences of everyone working remotely, it gives rise to higher incident of cyber crimes or higher likelihood of investigations of wrongdoing. That's possibly it. And on the pharmaceutical side, the world continues for a lot of these large companies in terms of trying to provide services to their client base. So, we're thrilled that their demand continues but the trend has not necessarily deviated from the excellence that they've enjoyed over the past several years.
Marc Riddick: Okay, great. And then, the one last thing for me is, and I would sort of be curious as to maybe how this played out, you mentioned as far as when -- in mid-March the process of getting everyone to work from home. And I was wondering if you could touch a little bit on sort of the -- I would imagine you had done some business continuity work in the past, but I was wondering if you could sort of touch on maybe how things are progressing with your technology. Do you get a sense that you might have some additional technology needs? And then, maybe how -- you might think about how folks might end up working going forward when we sort of come out of this, whether or not there's some potential changes or benefits that can be learned out of what we're experiencing now. Thanks.
Paul Maleh: Sure. We tried to make reference that we went on March 16 encouraging people to work from home. And literally, two or three days later, we had 100% of the workforce remotely, working remotely. Our IT department very early on expanded the capacity of our network to enable people to try to connect seamlessly and have access to the same security and information and data resources we have, so that has gone smoothly on that. Probably the biggest challenge was the fact that we're blurring work at home, and that took some effort and continues to take some effort to try to help people balance those two worlds there. The other part that we've been trying to focus on is having people stay connected, stay connected to their colleagues, stay connected to their clients, because in-person working meetings, client updates are now done remotely, and we need to make sure that we're not lessening the communication during a period like this but increasing it. With respect to the world of reemergence, that's complicated for so many reasons, but namely that reemergence is going to take a number of waves because it will differ by geography, it will differ by the specific needs of my colleagues, whether they have kids, whether they have child care resources to assist them on that, and whether they are safe, right. We began the call by saying our priority is the health and well-being of our CRA community, and it's going to take a little while. This won't be -- the reemergence will not come as quickly as our work-from-home transition. I think it will come. And what we're trying to focus on right now is can we come out of this an even stronger organization, a more efficient organization, by what we are experiencing now during these eight weeks? But I welcome the time when we're talking about reemergence of our workforce.
Marc Riddick: As do I. Thank you very much.
Paul Maleh: Thank you, Marc. Stay safe.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back to Paul Maleh for closing comments.
Paul Maleh: Thanks, Rob. And again, thanks to everyone for joining us today. We appreciate your time and interest in CRA, particularly in this environment that we're in. We'll be participating in virtual meetings with investors in the coming months, and we look forward to updating you on our progress on our second quarter call. Be safe, everyone. With that, this concludes today's call. Thank you.
Operator: This concludes today's conference. You may now disconnect your lines at this time. And we thank you for your participation.